Operator: Good day and welcome to the Dow Chemical Company’s Fourth Quarter 2014 Earnings Call. Today’s call is being recorded. At this time, I would like to turn the call over to Mr. Jack Broodo, VP of Investor Relations. Please go ahead, sir.
Jack Broodo: Good morning and welcome. I am Jack Broodo, Vice President of Investor Relations. As usual, we are making this call available to investors and the media via webcast. This call is the property of the Dow Chemical Company. Any redistribution, retransmission or rebroadcast of this call in any form without Dow’s express written consent is strictly prohibited. On the call with me today are Andrew Liveris, Dow’s Chairman and Chief Executive Officer and Howard Ungerleider, Executive Vice President and Chief Financial Officer. Around 7:00 am this morning, January 29, our earnings release went out on business wire and was posted on the internet on dow.com. We have prepared slides to supplement our comments on this conference call. These slides are posted on our website and through the link to our website. Some of our comments today include statements about our expectations for the future. Those expectations involve risks and uncertainties. We cannot guarantee the accuracy of any forecast or estimates, and we don’t plan to update any forward-looking statements during the quarter. If you’d like more information on the risks involved with forward-looking statements, please see our SEC filings. In addition, some of our comments reference non-GAAP financial measures, a reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and on our website. Unless otherwise specified, all comparisons presented today will be on a year-over-year basis. Sales comparisons exclude divestitures, EBITDA, EBITDA margins, return on capital, and earnings comparisons exclude certain items. The agenda for today call is on slide three. I will now hand the call over to Howard.
Howard Ungerleider: Thank you, Jack. Good morning everyone and thank you for joining us. 2014 proved to be a great year for Dow. We ended with a very strong fourth quarter and even with currency and oil uncertainty are moving toward a solid start to 2015. We achieved record results, thanks to our decisive and disciplined approach to executing on our priorities. In the midst of a challenging operating environment Dow once again delivered. The fourth quarter is our ninth consecutive quarter of year-over-year EPS, EBITDA and EBITDA margin growth. These results demonstrates our focus in driving targeted self-help, executing on our strategic actions, increasing return on capital and maximizing our returns. As a result, earnings per share rose to $0.85 on an adjusted basis, a $0.20 per share increased year-over-year. EBITDA increased to $2.4 billion on an adjusted basis representing a new fourth quarter record with gains across all operating segments. We delivered broad-based EBITDA margin expansion, up nearly 220 basis points on an adjusted basis, thanks to our integration, our end market diversification and our global market access, and we continued our strong focus on working capital efficiency. Cash flow from operations was up $500 million versus the prior period. All of these actions enabled us to finish 2014 with strength, which brings me to our full year results. Earnings per share grew to $3.11 on an adjusted basis, a 25% increase versus 2013. EBITDA rose nearly $1 billion achieving a full year record of $9.3 billion on an adjusted basis. We expanded EBITDA margins and improved return on capital. We also accelerated our portfolio management actions and we made excellent progress on our key growth projects that are on track to startup this year. And we delivered a second consecutive year of record cash flow from operations. These results enabled us to continue to increasingly reward our shareholders. $4.5 billion in share buybacks completed with the launch of another $5 billion trance and two dividend increases put into motion. In total we returned nearly $6 billion to shareholders in 2014 representing an all time record. Earnings, cash flow and shareholders remuneration are each an all-time high. Our strategic decisions have created a portfolio that is less volatile and has lower risk due to our integration, global scale and product market diversity delivering an earnings base much higher than previous economic cycles with significant financial flexibility. Coupled with our self-help and productivity actions which continue to deliver cash and lower our costs, we are well positioned to continue to maximize returns in this uncertain environment. Those were the headlines. Now let me provide more detail on the company’s operating performance, market trends, strategic agenda and outlook. Moving to slide five, sales were $14.4 billion. Our team delivered 4% volume growth overall with growth across all operating segments except infrastructure solutions. Our price decline was 4% driven by Western Europe with half of the total decline due to currency. Our productivity actions including our volume growth was a key driver behind our EBITDA margin expansion this quarter, as well as our intense focus on our day-to-day commercial and operational metrics such as price margin and inventory. Revenue highlights for the quarter include Ag Sciences which grew sales $82 million, resulting in a fourth quarter record for this segment. Performance materials and chemicals increased sales a $172 million with sales growth driven primarily by Epoxy and Polyurethanes, which reported double-digit growth, both businesses showing firm improvement in 2014. On the bottom line record fourth quarter EBITDA gains were driven primarily by Ag on an increased sales of differentiated products and technologies. Performance materials and chemicals also drove EBITDA increases through its ongoing productivity actions and performance plastics achieved its 10th quarter in a row of year-over-year EBITDA growth. Let’s take a closer look at each segment beginning on slide seven. Ag Sciences delivered a record quarter. Fourth quarter sales were up 5% and adjusted EBITDA was up $63 million, reaching $222 million. EBITDA margin improvement was driven by broad-based sales gains of our innovation driven technology platforms and sales from new crop protection products increased 23% year-over-year. From a macro perspective, global projections for food and crop demand highlights the need for significantly higher yields. Dow Agrosciences and our technologies focused on delivering products that help growers meet these expectations. And we’re working to commercialize our new products as quickly as possible. A key example Enlist, there is real enthusiasm among the grower community for this top performing system, and in 2014 we made great strides and bringing it to market by gaining USDA regulation and U.S. EPA registration. We’re actively working with the Chinese government agencies and expect approval for Enlist corn in 2015. We’re moving forward to ensure a successful stewarded launch in United Stated for corn in 2015 and a full commercial launch in 2016. Mix upgrades and the ramp up of new technologies are expected to drive earnings growth above markets, some examples in our crop protection business are Arylex, spinetoram and Isoclast. These new products help farmers address resistance issues and deliver 20% to 30% higher margins than our base crop protection products. Dow AgroSciences innovation engine combined with our growing presence in seeds, our ongoing focus to both improved working capital and optimized costs will enable ongoing margin expansion. Turning to consumer solutions on slide eight, adjusted EBITDA grew by $31 million to $243 million for the quarter on flat sales, as increases in automotive volume offset currency headwinds. Margin expansion was driven by higher volume in North America and Europe. We do expect growth and margin expansion driven by increasing demand in Dow Electronic materials, Dow automotive and consumer care. 2014 was a record year for Dow automotive. Demand for larger and premium vehicles with better fuel economy and lower emission is a key growth trend. Our BETAMATE brand of structural adhesives are enabling light weighting by bonding dissimilar materials such as aluminum and plastics and is now in use in about 12% of new cars today supplying 60% of this new and rapidly growing application. Consumer care delivered EBITDA margin growth in 2014 as well. Here brand owners are focused on delivering innovative products that differentiate their brands while increasing their returns. Dow is working alongside our customers collaborating to innovate customized profitable solutions via enabling chemistry. Margins also expanded in Dow electronic materials in 2014 primarily due to mix upgrades. Consumers rapidly escalating expectations for electronics is driving the need for lighter, brighter and more powerful devices. We’re excited about these trends as we enter 2015. Semiconductor content and display technology demand is also on the rise as consumers require computing power in their mobile devices. The rapid shift to phablets and hybrid PCs which have higher turnover than traditional PCs is requiring faster innovation cycles. Moving to infrastructure solutions on slide nine, adjusted EBITDA was up $31 million to $244 million and we delivered margin expansion on self-help productivity actions and improve business conditions at Dow Corning despite sales declines of 4%, which were due primarily to currency headwinds and from a weaker construction market in Europe. Energy and water solutions is delivering consistent growth, customer across the sector are demanding close collaboration and Dow’s close to customer strategy placing experts to work hand in hand with our customers continues to gain traction and has enabled multiple quarters of double-digit increases in demand for our microbial controlled technologies. In the water section, Dow’s separation technologies are necessary to address the need for sustainable water solutions. We expect that water technology markets will remain robust and should see an acceleration in growth as global GDP continues to improve. We’ve also increase the profitability of Dow Building & Construction with significant improvement in Europe, thanks to our focused efforts to reduce our structural cost. The U.S. construction market continues to improve as evidence by December housing starts. We’re launching new products and construction chemicals and insulation and enhancing our cost position to drive further earnings improvements. In Dow Coating Materials we delivered top and bottom line growth in 2014. We’re capitalizing on trends in the architectural coating space, innovating to drive adoption of high quality paints and expanding our vinyl acrylic emulsions is part of our tier in product offering strategy. This will enable us to expand our reach in emerging markets as well as the U.S. contractor market. Turning to slide 10, performance materials and chemical sales grew 5% and adjusted EBITDA was up $98 million to $636 million for the quarter. Significant EBITDA margin increases are result of ongoing sell out and productivity actions resulting in higher operating rates and lower more advantage costs. In Polyurethanes these actions resulted in a completion of the $100 million productivity program we began in 2013. We have also increased production by more than 15% over the last two years. We’re now operating more locally than before to allow more agile responses to market dynamics as well as selling into the most profitable regions. For Epoxy we have completed more than half of our productivity target and expect to complete the full program in 2015. The quality of our business continues to improve as we implement to mitigate the impact of continued industry pressures from oversupply in Asia-Pacific. Further actions to enhanced efficiency and performance materials and chemicals should continue to provide tailwinds for this segment. Turning now to performance plastics on slide 11, adjusted EBITDA was up $66 million to $1.2 billion, representing a fourth quarter record which culminated in a sequential full year EBITDA record. We deliver this achievement even as sales decline 3%, falling energy cost, higher volumes and tight supply demand dynamics combined to create margin expansion in the fourth quarter. On the topline demand is steady and our assets are running hard in United States and globally. Sales were actually flat year-over-year when we exclude hydrocarbons and energy co-product values which decline with oil. Our strategy for this segment has been purposely build on differentiation eliminating lower margin and/or commoditizing portions of the segments and pursuing higher margin, differentiated product lines and markets. As a result we have built a portfolio that has been delivering higher and more consistent returns through a variety of economic conditions. Looking ahead well there is clearly pricing pressures, demand fundamentals have not changed. Our sales volumes actually look slightly better than last as customers orders remains steady before the late February through June seasonal typical demand strengths. Dow sales in resin markets around the world and [indiscernible] highest return opportunities, that enabled us to hold fourth quarter non-hydrocarbon sales flat year-on-year in the segment. For example, margins are improving in our [Indiscernible] as we sell in to the strengthening automotive market. Similarly higher demand in the high voltage power cable market as more money is freed up for new infrastructure projects is helping our electrical and telecommunications business. 2014 was another year which Dow progressed in our strategic growth initiatives and 2015 will be a major milestone year for Dow with the startup of several of our major investments. Let me give you a quick updates on these investments on slide 13. Our projects on the U.S. Gulf Coast and the Middle East remained on schedule. Sadara will establish a foundation that we will leverage to compete in the Asian and Middle Eastern markets for the next many decades. Over construction is approximately 85% complete with construction for first product assets in polyurethane value chain approximately 95% complete. Falling propylene prices United States are improving the competitiveness of our U.S. based propylene derivative businesses. While at the same time expanding our integration advantage in our market-facing businesses. Our new PDH unit comes on stream in the second half of 2015 capturing the propane to propylene spread for one-third of Dow’s U.S. propylene needs expanding the earnings power of Dow’s integrated business model. I discussed Enlist and Stewarded introduction in 2015, we remained enthusiastic about Enlist along with the entire suite of Ag Science innovations that continue their steady pace of launches. This business continues to outperform because it’s integrated into Dow’s manufacturing and R&D platforms and we remain on track to once again double the value of Dow ArgoSciences in the next five to seven years. All of these projects are high return investments and strengthen Dow’s income growth trajectory even during volatile commodity environments. However, we’re not sitting back resting on the returns these investments are bringing and will bring. We’re continuing our drive to take cost out of the organization and maximize the opportunities from the existing assets. With that lens in mind, let’s turn to our productivity actions on slide 14. We produced and sold more than 3.5 billion incremental pounds in 2014 versus 2013, and we continue to drive to higher operating rates across the company yielding lower unit cost all what remaining leader in environmental health and safety performance. In the fourth quarter Dow achieved an 86% operating rate, an increase of 400 basis points versus the fourth quarter of 2013 and the highest fourth quarter in the last five years. We also ended the year with strength. December 2014 came in at 84% versus 79% in December 2013. 2015 has similar opportunity. In fact while we’ve seen a decade of heavy investment in exploration and production which is now resulting in lower oil and gas price. Those investments significantly outpace the number of petrochemical investment. Dow has now experienced accelerating operating rates for five quarters in a row. When you consider our operating leverage of more than $200 million for every 1% improvement in operating rates it’s clear that Dow is well positioned to capture significant upside in our operating income as we continue to see demand response to low oil Low oil price will be a tailwind for global demand and for our products. We’re also maintaining a constant productivity focus so that we can continue to deliver in a low oil price world. We have now done this for many years and our new next enterprise systems architecture is enabling even more opportunity for further improvements in cost reductions and efficiencies. This focus was a key source of momentum in our results this quarter and will also be an important tool for Dow in 2015 and 2016. One of the other mechanisms to improve productivity is to divest businesses that fall outside of our ROC targets or our long term strategic direction. So let’s move to slide 16 for a brief update on our portfolio of commitments and actions. Our focus on working capital efficiency and proceeds from portfolio management actions are generating strong cash flows. At the same time we’re driving targeted actions across our portfolio, divesting non-strategic assets and businesses such as the Angus Chemical Company and sodium or hydrate divestments which we announced in November and the carve-out of our chlorine chain which remains on track for close at the end of this year. We’re also redirecting resources toward more strategic uses and we have been clear on our priorities for uses of cash. We are and we will continue to invest in our future through organic growth investments and to reward our shareholders as shown on this slide. We achieved another record number of patents granted with 20% of our sales yielding margin differential greater than a 1,000 basis points above our non-patent advantage products notably nearly 35% of Dow’s revenue now comes from new products. We delivered $6 billion to shareholders and declared dividends and share repurchases. We completed our $4.5 billion share repurchase program and launched an additional $5 billion trench and we announced two dividend increases in the year. Dow interventions over these last five years have build more resilient, more stable higher margin portfolio enabling us to more consistently reward and remunerate our shareholders. Now let’s talk about what to expect for the first quarter of 2015 and the year. We see volume growth continuing with year-over-year growth expected coupled with steady demand. We anticipate performance plastics margins will remain strong although moderated by lower oil and gas. And we see further margin expansion in performance materials and chemicals driven by ongoing improvement in Polyurethanes and Epoxy. Equity earnings are expected to be down as Sadara cost ramp up and MEG prices fall. We anticipate an increase in turnaround cost in a range of $150 million sequentially in year-over-year. Our previously announced productivity program will continue to gain traction and we expect to generate approximately $300 million, improvements by year end offsetting the impact of inflation. We expect pension be a headwind in 2015, up more than a $100 million on full year basis. And as our growth projects come on line we expect capital expenditures to peak at around $3.9 billion for the year. We anticipate continued near term currency headwinds and expect the range of between 15% to 30% of the change in revenue to translate to an EBITDA impact. And finally on tax rate, it’s expected to be in the 25% to 28% range for the year. Dow had an exceptional 2014 ending the year with a record fourth quarter delivering a ninth quarter of year-over-year EPS, EBITDA and EBITDA margin growth, growing demand for our products, increasing our operating rates, executing on our strategic initiatives, enhancing our financial discipline, increasing our return on capital and delivering significant value to our shareholders. Historically, when Dow have seen escalating rates, favorable energy markets, and increasing GDP, it has bode well for our company’s performance in the years that follow. I’m excited about where the company is today and its future. So with that I’d like to turn the call over to Andrew for a full year review on Dow’s performance as well as our outlook for 2015.
Andrew Liveris: Thank you, Howard. And we’ll turn to slide 19, I’ll begin with our vision, our core, the tenant that underscore each and every action that we take optimizing long term value per share. This singular focus was the few behind our record performance in 2014 and we prepared us in 2015 and beyond. Put simply, we are creating short, medium and long term value firmly in line with the strategic actions we have taken and the results that we have delivered over these previous nine quarters. Moving into 2015 the value and resiliency of our strategy are clear. We are integrated products company build on low cost manufacturing positions with interlinked businesses align to attractive end markets and geographies with decisive growth strategies. We are interdependent portfolio of assets and it is through our integrated portfolio in volatile time such as these that our real strength and our real value are evident. Leveraging up cycles to capitalize in cash engines upstream and delivering returns through our differentiated end market aligned businesses downstream and throughout the cycle. We are proving wide is best to own the full value chain. We need to only look to the last three months as an example where markets were volatile and moving fast and creating uncertainty around 2015 performance. And yet these dynamics emphasize the advantages of the Dow modeling strategy. Pure-play North American ethylene produces have face headwinds from falling oil. That same headwind which of course we fuel to a much more limited extent, largely represents a tailwind in our businesses aligned to consumer, infrastructure, performance materials and chemical sectors and indeed performance plastics. In addition the slow oil price environment is further mitigated by our flexible feedstock position in the United States and Europe and has made this new energy environment a net competitive position for Dow. Our European plastics businesses in fourth quarter show this is one clear proof point. Other examples that balance each other to the positive for Dow’s unique business model in this environment is the propylene effect even though of lower propylene prices in the United States is a small headwind our PDH investment, it is a stronger tailwind where Arylex and Polyurethanes business as it enables margin expansion in an improved competitive position. For further illustration the value of our strategy just look at our record fourth quarter results, despite plunging oil we reported a 15%, $314 million increase in operating EBITDA with growth in every segment. Let me be clear, I’m not here to state that there will be no challenges from low oil. However we believe the energy supply dynamic that is ongoing will lead to a long term low volatility scenario where our underlying structural position. The long term low volatility of both oil and natural gas will reduce cyclicality of what had been historically cyclical businesses and more effectively leverage the potentials of our integrated model to deliver value to our shareholders. Turning to slide 20 and in this context we are demonstrating that our strategy maximizes value. It leverages our strength, advantages, rooted in our integration to help mitigate macro economic pressures and enable Dow to deliver long term sustainable return. In 2014 we committed to achieving a series of near term priorities focused on adding value across our integrated value chains by advancing our key growth catalyst launching new products, driving productivity actions, divesting non-strategic assets and businesses and delivering stronger returns. We said we will do these things and we did. They are fully listed on this slide, but let me highlight a few. We have boosted output from our existing asset base more than 4% behind solid demand and innovation and we’re prime to bring our key growth projects such as a first unit in Sadara and the PDH unit in Texas online this year together with the Stewarded introduction of our Enlist program. We accelerated actions across our portfolio with $2 billion in proceeds expected from divestitures signed were completed in 2014. We announced expanded three-year $1 billion productivity program. We delivered record adjusted cash flow from operations, and a record $6 billion shareholders remuneration by declared dividends and share repurchases. We achieved, exceeded and most importantly we executed against the commitments we’ve made. And this is not deviation from previous quarters or even years. We have build the right model for volatile times and we have the culture and agility to move fast to maximize value in all cycles navigating near term dynamics with our unrelenting focus on streamlining costs and accelerating productivity. Turning to slide 21, our priorities for 2015 remained consistent and as we navigate, anticipate headwinds such as ongoing market uncertainty we are doing so with the recognition of the value of our investments and our leadership position in the markets in which we participate. Our team has driven significant and strategic enhancement to our portfolio to mitigate challenging energy markets in line with those we are seeing today. 2015 is a major milestone year for Dow. With our PDH and Sadara coming on line operating rates remaining high in the plastics businesses and with new product introductions in Agriculture Sciences electronic materials amongst others and maintaining the drive for more production at lower costs the full value of our entire integrated portfolio will once again be very evident. The market and world economy will be volatile, although still growing especially in the United States and increasingly in China. We believe we have the portfolio that will continue to win even in this sort of global marketplace as we clear have demonstrated in 2014. In short, our integrated diversified strategy will continue to deliver higher cash flows, more consistent earnings and most importantly increased shareholders rewards to you as shareholders our singular and driving focus. With that Jack, let’s turn to Q&A
Jack Broodo: Thank you, Andrew. Now we’ll move on to your question. First however I would like to remind you that my comments regarding forward-looking statements and non-GAAP financial measures apply to both our prepared remarks and the following Q&A. Rochelle [ph] would you please explain the Q&A procedure?
Operator: Thank you. [Operator Instructions] And our first question we’ll hear from Frank Mitsch with Wells Fargo Securities.
Frank Mitsch: Good morning gentlemen. And Andrew, do you need to give Andy Grove a royalty every time you use Intel Inside?
Andrew Liveris: I know you heard it on the TV and I don’t know, but if someone can find out for me...
Frank Mitsch: I think you’re fine there. Hey, I appreciate you pointing out that you’re not immune to - that there is no challenges from low oil, but I really didn’t hear too much destocking and the expectations are obviously no impact – not a lot of impact in Q4. What are your thoughts on customer destocking impact on Dow here in Q1?
Andrew Liveris: Well, thanks Frank. We obviously watch this very closely. We have our weekly meetings and our product managers and marketing managers, geographic managers. We clearly were watching for customer buying behavior as low oil kept occurring through the quarter. And yes, there were some I actually mentioned it on TV today, there were some delays in purchasing but it wasn’t due to demand destruction. People just anticipating lower prices. We’re seeing January orders in line with our expected growth. Demand for February is firming as we enter the month. We believe inventories in the industrial engines are at lows, and that’s basically pent-up demand based on the view that prices could drop even further.
Howard Ungerleider: I would also say, Frank good morning, that when you look at plastics, the industry operating rates in polyethylene was at 88% in the fourth quarter and we were running well above that number.
Frank Mitsch: That’s very helpful. And just sticking on the plastics side, you mentioned that margins are remaining strong in that business, and that’s your expectation for 2015. But where do you think that they may decline to 2013 levels? What are your thoughts on how the impact of oil might compress plastics margins?
Howard Ungerleider: Yes. I would say clearly in the natural gas liquid world, so the North America world and the Middle East you’re going to see margins decline and we saw some of that happen in the fourth quarter for sure, and the pressure is going to continue into 2015. But remember the naphtha world, we have our European assets as well as our Asian joint ventures and even in Latin America we’re doing very well and we saw margins expand as well as demand strength in both Latin America as well as significant strengths even in the fourth quarter in Europe.
Andrew Liveris: And I think Frank, just to elaborate, this is key question. Remember 2015 with demand growth still there as for your earlier question. As you get into the back half of this year we believe low oil price is very good for world demand. And as you get global growth coming back through low oil prices, you will start to see the beginning of peak economics in the plastics engine going into 2016 and 2017. So we do believe with tight operating rates there’s a lot of operating leverage here and our value add strategy actually gives us margin that we would just get on the feedstock, we get it in the packaging, elastomers, and E&T business.
Operator: And next, we’ll move on to David Begleiter with Deutsche Bank.
David Begleiter: Good morning. Andrew, I know you don’t give guidance, but given the challenges you and Howard mentioned for 2015, do you think Dow Chemical can grow earnings in 2015 versus 2014?
Andrew Liveris: I thank you for your question. And clearly the path the company is on with a record EBITDA performance last year I want you to note how we got there. We had a $900 million increase in EBITDA on about $1.1 billion increase in sales. That tells you that we have a resilient portfolio, but we also have the right mindset around innovation and productivity. Howard in his script talked about the innovation in general across the company. Just look at Ag. Q4 on Q4 year-on-year Ag 23% of their revenues were based on new product introduced just in that one year. So we have an ability to go after earnings growth independent of commodity environments, we’re not a commodity company, but we use commodity inputs to add value. I think what you’ll see from us a continued drumbeat. We will have margin pressure across some of the portfolio based on low oil price. In the back half of this year as demand gets tighter, I think we have an opportunity to certainly match last year’s performance.
David Begleiter: And lastly, Andrew just on Sadara at the current oil price what’s the impact on $0.5 billion of equity earnings you put out there for Sadara longer term by 2018?
Andrew Liveris: Yes. So you now look the old view of forecasting five years out almost seems to be out the door, we couldn’t forecast all of us a year ago what would happen to oil today, right. So, it’s a very hesitant forecast to hear that talks about the impact on Sadara. Just remember that Sadara is more than just a gas cracker, ethane cracker, it’s a mix feeds cracker that also uses other refinery streams from Aramco, not just naphtha, so please remember we got ways to get from here to there even in a low oil environment.
Howard Ungerleider: David I would also add, this is Howard, that $500 million with a ten-year average run rate over the first ten years, so we’re not stepping away from that number.
Operator: And next, we’ll move on to Bob Koort with Goldman Sachs.
Bob Koort: Thank you. Good morning.
Howard Ungerleider: Good morning.
Bob Koort: Could you help us, I may have missed it, but the size of the Pioneer contract adjustment and then does that impair at all your view of the ability to get more than 50 million acres of available market for Enlist? How should we think about any ramification on the value of Enlist from a very large potential customer?
Andrew Liveris: We didn’t declare it Bob, so that’s your first answer, but the answer your question, second question, in short is a firm no. We did not need that agreement and we have our own channels as well as other channels to more than make up anything that might have been pushed out as a lost in that contract.
Howard Ungerleider: Yes. I would also say that don’t forget we’re in the process of closing on Coodetec acquisition in Brazil and that’s going to really help our ability in Latin America to grow soybean as well as the regional players here in North America.
Bob Koort: And Andrew, I was wondering if you might give a perspective we've had this reset of oil prices, I think you’ve made - rightly bragged about your operating rates, but as an industry if we look over the next year for those crackers that weren’t advantaged on U.S. ethane, you think margin structure for the non-U.S. ethane crackers of the world will be higher over the next year than it’s been in the past year. Do you think the depressed oil price will just flow through to the customers ultimately?
Andrew Liveris: We don’t believe so, we believe that there’s apples and oranges in a question like that, you got to go through cracker by cracker, restarting a cracker that’s based on naphtha just because of this current oil price naphtha scenario is not a given, in fact we don’t believe many of them will restart at all. To restart an idle cracker takes a lot of money and it’s a big bet in this sort of environment. So we believe supply tightness is in our imminent future operating rates are high across the entire plastics chain. Those that are advantaged, remember Bob, 70% of our cracker fleet is in advantaged jurisdictions under all oil gas scenarios and we’re flexible. So we’re advantaged even in disadvantaged regions like Europe and in fact we’ve had margin expansion in Europe based on our ability to be cracking propane there and that’s also true in North America. So we really believe that what’s going on out here is a net positive and you’re seeing in our operating rates, you’re seeing in our leverage. We’ve returned to operating rates as a company that we had in 2007. How we’ve done that? We’ve taken out low end assets. We’ve taken out uncompetitive assets and the rest of the industry has done the same. So we believe that this is all tailwind as you get into the back half of this year.
Howard Ungerleider: I would also add just on Andrew’s propane or LPG point rather. In Europe we’ve improved that capability from the low 40% range to mid 50s, around 55% in Europe. And in North America I mean from a propane standpoint we do have the most feedstock flexible propane cracking of anyone else in the industry.
Operator: And next, we’ll move on to PJ Juvekar with Citi.
PJ Juvekar: Yes. Hi, good morning.
Andrew Liveris: Good morning.
PJ Juvekar: Andrew, it seems like you got a big benefit from lower energy complex in some of your specialties. So is it a give back this year meaning if the specialty complex declines with the lag in the first half?
Andrew Liveris: Well, so the portfolio we built has obviously low input prices and as you go the propane point is a great example of that with flexibility we can take advantage of any input no matter what the situation is, whether it’s naphtha, whether oil refinery led streams of propane or ethane. But your main point is we have a portfolio that’s doing value add and the value add in our strategy we’ve been saying its over and over, we don’t have your vanilla grade plastics business. We have a plastics businesses as packaging value add, elastomers value add, E&T, Electrical and Telecommunications value add. We make money in that part of the chain and that’s a specialty effect if you like, because those customers are asking for the price decrease at the pace of the feedstock decrease because they don’t see the correlation. But that’s especially true in electronic materials, in our water business, in some of our downstream businesses in building construction. So that is the portfolio we build. We think we have in essence an opportunity here versus a challenge. Everyone knows that’s expose to the price effect, we’ll have margin challenges, but we are not that type of company because of the portfolio we build. We have excellent commodity businesses that have that volatility effect. So there is a dampened effect in our specialties portfolio which is two-thirds of the company and it’s integrated to the low cost feedstock. So it’s a win-win for us.
Howard Ungerleider: PJ I think, this is Howard. Good morning. I just want to add on this innovation point. I know you guys don’t typically give us credit for innovation, but we’ve got a track record now on patents. 2014 was the fifth year in a row where we applied for over 900 patents. It was another record year of patent application granted by the U.S. patent office. From our finance perspective, I don’t like patents because of the plaque on the wall. Reason why I’m so focused on as we get and I referenced that I think in the prepared remarks we get a 1000 basis points additional margin on a pattern advantage sales versus a non-patent advantage sales. So I think you’re also starting to see that help our stickiness in price. But I agree with Andrew we’re not going to immune to it but we should be able to a relative outperformer in that space.
PJ Juvekar: Thank you for that. And then, Europe seems like it’s not growing. You got FX headwinds. What further steps can you take in Europe to adjust your cost structure and maybe can Howard hedge out some currencies here?
Howard Ungerleider: Well, in terms of Europe, I mean, you’ve seen some of the improvements in profitability continue to show itself through 2014. We had higher operating rates in the quarter. We’ve been taking out. We completed the 2012 restructuring program in 2014, a significant number of those 28 assets were in the European area. So we’ve done that. From a currency PJ it’s definitely going to be a headwind. There was a headwind in the fourth quarter, our price was down 4% in the quarter, 2% of that was currency if you drive that to the EBITDA line it was probably around a $75 million EBITDA headwind in the fourth quarter. And so you’ll see that still happen in 2015, but I think it’s really important to note that we have our assets in the regions where we sell our products fundamentally. And many of our raw material and many of our end products are either tied to dollars or heavily influenced in dollars. So, most of our currency impact is really going to be around translation back to the U.S dollar on the income statement. And then of course you are going to see some balance sheet impact which you certainly saw in the fourth quarter where we have assets in Europe that gets translated back on the balance sheet. And that’s why the net debt to cap moved up a little bit primarily because of that in our pension.
Operator: And next, we’ll move on to Aleksey Yefremov with Nomura.
Aleksey Yefremov: Good morning. Andrew, could you update us on your view on supply of natural gas liquids in the U.S. in the new oil price environment?
Andrew Liveris: Yes, so thank you for your question. The – we obviously [Indiscernible] and rejection economics are playing in the west fields and certainly the NGO production at $3 gas is much more economic for those guys who are producing wet gas. So you are going to keep getting production of ethane and propane as it applies. So that’s all advantage to the guys like us who are buying. We don’t see that changing anytime soon and depending on the oil price. Clearly the oil price has had an effect on new rigs and new rig counts and that’s all dropped off well reported and clearly if you got dry gas you’ve been shut in for a while so that doesn’t help you all that much. But it’s your question that plays here and NGOs continue to be rejected but are still the most profitable part of the producers of wet gas.
Aleksey Yefremov: And thank you. And as a follow up do you have any update on the status of Dow Corning JV were there any additional discussions since the Investor Day?
Andrew Liveris: So Dow Corning as much as all of our JV clean up our strategy, we talked about at our investor day and clearly we are looking quite long and hard as who are natural owners of their JVs, you’ve asked for transparency and how we report our businesses. So going narrower in number of JVs is our clear strategy. There is nothing to update you or nothing sort to say, other than clearly that’s one of our strategies and clearly our partners at Corning have to make their own statements.
Operator: And we’ll move on to Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Thanks guys. I guess the first question I had was just on the NGL side. You’ve stated in past presentations that you can go up to 60% propane and 55% and a similar number on LPG in Europe, but what is the realistic number, is there anything that precludes you from getting that high. I mean is there enough supply in those regions to actually get to 60% or you will be cracking 30%, 35%?
Howard Ungerleider: There’s nothing that precludes us going that high other than. We run a group Jack used to run it, so maybe we should let Jack answer. But in essence what the whole strategy is we look at our furnace crack on a daily basis and we pivot around appropriately where we have the flex capabilities and nothing stops us from taking it those numbers. Right Jack.
Jack Broodo: Yes Arun I mean in Europe we continue to expand our capability to crack LPGs both propane and butane and then the length of the season where propane is much cheaper than naptha continues to grow as U.S. continues to expand more and more LPG. So U.S. LPG expansions help Europe and there are also firm price in the U.S. which helps production in the U.S. and so it’s a double win for us and strategically structurally helps us.
Arun Viswanathan: Okay. Thanks and I guess the other question was just a quick update on the chlorine sale, are you still sticking to the $3 billion to $4 billion in your targeted proceeds and the $500 million in EBITDA in light of recent declines in EDC and TVC? Thanks.
Andrew Liveris: Yes the short answer good morning is the as we are still on the trajectory that we laid out at Investor Day that for closed at the end of – before the end of this year 2015 and we’re still sticking to all those numbers, actually we are in the data room. It’s a robust option, there are strategic buyers as well as financial buyers and we feel very good about where we are.
Operator: And next we’ll move onto John Roberts with UBS.
John Roberts: Thank you. Just first a follow up on that, could you tell us yet whether it’s going to be one transaction or multiple transactions or whether Dow will retain any interest in any of the transactions?
Andrew Liveris: The short answer is no. We’re looking at it from what’s going to maximize value for Dow shareholders short as well as long term so there is still an option for it to be two transactions or one transaction, so that will depend really on who the ultimate buyer will turn out to be based on value.
John Roberts: And then second I was thinking the discussions with your partners and equate in any [ph] global could go quickly since you are dealing with a limited number of potential buyers as your JV interest. But now with the drop in oil prices do you think it might take longer to come down on your agreements there?
Andrew Liveris: Well clearly drop in oil prices affected all the oil producing nations and Kuwait is not immune to them. Its less about that John and more about the strategic rationale that our partners have for expansion in the value add which in their case is Petrochemicals , it’s a big deal for them equate and our presence in equate. So frankly this is not a one month, two month conversation, it never has been. It’s more what are they going to do with a expansion needs. They want to expand it to liquids cracking for example. They have announced that, they have announced projects in Vietnam and China. So they have a holistic view to their strategy and more Kuwait ownership with time on our JVs is something that interest them. So look, it’s going at a good pace, nothing to report and just a little footnote. MEGlobal is different than the Kuwait based adventures and can beat to its own drum.
Operator: And next we’ll hear from Kevin McCarthy with Bank of America
Kevin McCarthy: A couple of questions on cash deployment. And looking at your balance sheet it looks like your pension in OPEB [ph] liability increases, assume that’s on discount rate and it’s mortality. Can you comment as for the cash required for pension in 2015 as well as the likely pace of execution against your remaining $5 billion authorization on repurchases?
Andrew Liveris: Yes sure, good morning Kevin. You are exactly right. I mean the Pension liability increased by about $3 billion, about 75% of that was because of the lower discount rate. It was down about 90 basis point; about 25% was the new mortality tables that got put in. Your second question was on the stock buyback and what’s worse we’re still on the same trajectory of what I laid out at investor day which is a couple of points that we expect it to be roughly $2 billion of stock buy back in 2015 timed with the divestitures from our portfolio moves.
Kevin McCarthy: And then a second question if I may on polyurethanes, quite strong results in the quarter, can you speak to your outlook volumetrically as well as from a price perspective and comment on how you would expect pricing to differ in lets say a merchant sales of intermediate process systems, how much sticky your systems might be?
Andrew Liveris: Yes so the noted value creation of polyurethanes that you pointed out really started a couple of years ago when you remember we put that [Indiscernible] together and said, do you had to be fixed as did epoxy. Glen Roth [ph] and his team have done a sensational job repositioning the value chain. It’s occurred at all parts of the value chain to have advance to your question. It’s occurred at the Propylene oxide end, it’s occurred in the polyurethane components end and it’s occurred at the systems end and it’s been a repositioning plus a productivity drive. They have achieved their productivity goals, but they have also repositioned to end use growth markets like energy efficiency for example. High end durables, high end furniture embedding. So they have got a technology driven program that’s very focused on the value add and of course the lower input cost. This should be further enhanced this year when PDH starts off. So we’re quite proud of the turnaround in polyurethanes and has been both point, productivity and repositioning.
Operator: And next, we’ll move to Hassan Ahmed with Alembic Global.
Hassan Ahmed: Good morning, Andrew.
Andrew Liveris: Good morning.
Hassan Ahmed: Quite a few comments made on flexibility and the whole ethane, propane side of things. I guess a lot of them were directed to the European side of things. So my question is more specific to the U.S. side of things. I mean, obviously the markets are bit [indiscernible] that ethane based margins have come down, call it $0.06, $0.07 a pound relative to 2014 averages. But if I take a look at U.S. propane based ethylene margin they’re actually up even sort of higher than where ethane based margins were last year. So my question is how high could you take your propane buyers in the U.S. and could you actually come up with the scenario that if we would mark everything to market to current pricing, year on year we could actually had higher margins this year than last year?
Andrew Liveris: Well, I mean firstly we can go up to 70% of our crack slide here in the U.S. So if you look at the propane dynamic you just talked about than clearly there’s a scenario here that has us not feeling the effect of the oil and gas or naphtha retain arbitrage as much as others. That clearly is further enhanced by propane dehydrogenation as I already implied in my script. I’m not going to foreshadow repeat in our plastics record profits in Q last year and frankly the year before they been expanding profits quite considerably but our feedstock flex as propylene weakens there could be some effective margins coming down on some of our businesses. But as far as Polyethylene and plastics is concern, mark-to-market advantage Dow on propane crack.
Hassan Ahmed: And as a follow-up, I mean, we’ve begun to hear about some projects cancellations I mean, I know you talked about on the Dow side of things, the projects being on track in the like, but recently we heard about Shell project cancellation out in Qatar [ph], and recently Sasol canceling one of their GTL facilities. What you view about some of these newer Greenfield ethylene facilities in the U.S.? Do you think there will be more cancellations going forward? And part and parcel with that where do you stand today in terms of your cycle view?
Andrew Liveris: Second question first. We haven’t changed our view on the cycle and since low oil started last quarter we’ve been very clear that we think ultimately six to nine months low oil price foreshadow’s increase demand so this should help the world economy not hurt it, which I know is a view that not many others talk about but I think our result should show that, so we don’t have to talk about it, we can just show our results. So that then says, demand is there, operating leverage there to Bob Koort’s earlier question. So then you see the cycle playing out in 2016, 2017 with the back half of this year creating further tightening opportunities based on demand. In terms of supply, we don’t think any of the big ethane crack projects will be affected. I think those economics are still sound based on excess NGLs as per an earlier question I got. I do think as you’re seeing with some of the projects even one yesterday on Sasol, GTL, anything oil related, anything directly connected to the oil molecule, will definitely be delayed missing a ton of those being delayed. But that’s less about what the U.S. projects will do. I think those U.S. projects the ones that we all foreshadow at the 2017/2018 startups will be relatively unaffected.
Operator: And next, we’ll move on to John McNulty with Credit Suisse.
John McNulty: Yes. Good morning. Thanks for taking my question. So looking back historically when we start big commodity moves down and/or oil prices moves down there was the benefit of pretty significant working capital benefits for even the past, but admittedly that was – most of those were during weak economic periods. We don’t have that this time around. So I guess how you’re thinking about the potential for working capital to really drive significant cash flow for you in 2015?
Howard Ungerleider: Yes. I mean, overall it should be a nice tailwind to our cash flow and I think you started to see that show already in the fourth quarter, I mean, we’re working not only on the raw material or the price cost side of the equation, but also on the volume unit side with our efficiency programs. So I mean our DSI was down by four days in the fourth quarter versus the third quarter, 60% of that drop was volume and 40% of that was based on price cost. So it would be a tailwind in 2015.
John McNulty: Great. And then just with regard to the run rate EBITDA for the products coming up in 2015, looks like they’ve been tweaked a little bit lower from the Investor Day, is that in oil reflection are you kind of marking things to the market right now or do you have other assumptions that may we should think about in those numbers?
Andrew Liveris: No, John. I don’t think we’ve actually come off in terms of our public position on any of those projects. I think if you look at where this specific margins were in the fall, they’ve come off a bit just from a market standpoint, but they’re still well above what we’ve originally laid out, so the PDH unit of $450 million. You look at the implied spread on propane or propylene, that still well within our guidance that we’ve given.
Howard Ungerleider: John, at our investor forum we had an example of the prompt value of those projects, but we did not said that wasn’t changing, what we expected from the run rate number we have published.
Operator: And next we’ll move on Debbie Fisher [ph] with Barclays.
Unidentified Analyst: Hey, good morning. Question on Ag, your commentary seems to be a little bit more optimistic than what we’ve heard from others where folks have talked about a decent amount inventory in the system probably needs to get work down and scenarios where you’re seeing pricing pressure. So can you just go through – would you expect or do you see too much inventory in some of your product change in Ag. And then would you expect some pricing pressure across your portfolio this year?
Andrew Liveris: Clearly we see the same effect on corn and corn inventories. I mean, there’s no question at the low commodity prices and farmer economics have changed and corn which is causing the rotation of soy and clearly we see that same effect, so that isn’t any different. But the think that differentiates us from our competitors is our product pipeline and what Howard talked about. Bugs don’t see falling corn prices, infectious is still being used. We’ve launched two major classes of insecticides in this last little while, Isoclast and Spinetoram both sales are up year-on-year. New product sales year-on-year Q4 to Q4 up 23% in one year. This is Dow’s AgroSciences product pipeline coming through big time. Arylex service side, broad-spectrum herbicide, cereal fungicide, these are not affected by farmer corn economic. So that’s what you’re seeing in our results.
Unidentified Analyst: Okay. And then just back on the petchem side, if we remain in this type of an oil environment throughout the year do you think the more marginal production in Asia is MTO or would it be naphtha based the way you would look at it?
Andrew Liveris: Well, I don’t think – firstly there’s whole scenario about MTO not coming on at the pace anyone think it’s going to come on. I think there’s a whole recalibration going on because of oil and coal. Remember that methanol is coming from coal. And so that’s going to change a lot in terms of when those projects come on line, which therefore defaults to your question being answered by saying, its incremental naphtha, but I’ve already answer the previous question about there’s not many of that is come on line. The way we view it is Asia is going stay high cost under any scenario. The beneficiary to this low oil scenario is mostly in Europe especially those that can NGL crack like propane.
Howard Ungerleider: Thank you for your question. With that we’re going to stop the questions and we appreciate all of your questions. Andrew, would you like to make a few final comments.
Andrew Liveris: Well yes, I would like to say that last year it was a record year for Dow and this is a design. We have a strategy that’s working. We have built our business to be tend to be high margin and high return in most economic environment. The key to those is been the progression of actions these last many years, the sale of our most commoditize high margin product. We’ve locked in low cost competitive inflexible feedstock capacity. And we have technology advantage high margin products. These changes are in place now and are producing and creating a sustainable business model that gives us much opportunity in 2015 versus challenge. We remind you that the driver of volume and price is demand far more than just feedstock input price. Demand for our products and in particular our advantage products is very strong. We are very confident our strength will continue this year.
Howard Ungerleider: Thank you, Andrew. As always we appreciate your interest in the Dow Chemical company. For your reference a copy of our prepared comments will be posted on Dow’s website later today. This concludes our call for today. We look forward to speaking with you again soon.
Operator: And that will conclude today’s conference. We thank you for your participation.